Operator: Good afternoon, ladies and gentlemen. And welcome to the Doman Building Materials Group Limited Fourth Quarter 2022 Financial Results Conference Call. At this time, all lines are in listen only mode. Following the presentation, we will conduct a question-and-answer session [Operator Instructions]. This call is being recorded on March 10, 2023.  I would now like to turn the conference over to Ali Mahdavi. Please go ahead.
Ali Mahdavi: Thank you, operator. Good afternoon, everyone, and thank you for joining us for our Doman Building Materials fourth quarter and full year 2022 financial results conference call. Joining us this afternoon are Amar Doman, Chairman and Chief Executive Officer; and Jay Code, Chief Financial Officer of the company. If you have not seen the news release, which was issued yesterday, it is available on the company’s Web site at domanbm.com as well as on SEDAR along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight on March 24th. Following the presentation, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company’s future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors, which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today’s call, and management does not anticipate providing guidance in future quarterly or interim communications with investors. I’ll now turn the call over to Amar.
Amar Doman: Thanks very much, Ali. Good afternoon, everybody, and thanks for joining us on today’s call. I’ll begin by highlighting some of our key financial metrics followed by some color on our operations during the fourth quarter. And then I’m going to hand the call over to Jay Code, who is going to review the numbers in further detail. I’ll start by highlighting the efforts of all of our employees across the various business segments during what can be best described as a challenging year with price volatility and a number of macroeconomic headwinds. While I’m pleased with our accomplishments, it’s important to look back at the year, which started off with the continued and lingering effects of the COVID-19 global pandemic, which thankfully started to wane towards the middle of the year. This transition resulted in a reversion to what we consider a more normal business environment with the demand for various end markets returning to more historical levels and spending categories. However, continuing pricing volatility combined with the inflationary concerns of increasing interest rates resulted in fears of a potential recession. Although the complex landscape challenged our visibility throughout the year, I’m pleased to report that we achieved record sales and overall strong operating results. We were pleased with our growth strategy continued to unfold resulting in strong annual sales and earnings, while remaining focused on margin protection. Despite the pricing environment and uncertainties caused by macroeconomic forces we faced throughout the year, we maintained focus and discipline on servicing the needs of our customers with the utmost level of quality and service, while working through a highly volatile pricing environment for our wood products. In parallel, we continued to optimize our balance sheet by using our free cash flow generation to reduce our debt significantly. This performance along with our continued fiscal diligence resulted in a reduction of our net debt by more than $135 million on a year-over-year basis. Additionally, we remain focused on further opportunities for margin expansion with our ongoing investment on continuous improvement programs. We continue to balance these actions aimed at improving our near term profitabilities with longer term decisions to support our growth trajectory and broaden out our market opportunities. Despite our general optimism, we are moving forward cautiously to ensure that we emerge in this period as an even stronger company. Our extended footprint in Canada and the US continues to allow for top line growth and profitability for the future, while we continue to use this platform for incremental and unique growth opportunities. The strength in our full year results came from the combination of continued strong pricing, albeit with some volatility, robust volumes in all of our markets, which resulted in full year revenues exceeding $3 billion, representing another new record. Further, our ongoing cost management and focus on operational efficiencies enabled the company to realize much of the revenue line gains to the EBITDA and bottom lines. We are very proud of the strength of our financial performance and believe that there is a lot to be gained from the strength and momentum, which has resulted from our successes in 2022 and particularly in the fourth quarter as we pave the path forward. As a result of these efforts, during the fourth quarter, we continued to see robust demand for our product categories, which resulted in our revenues coming in at $573 million, gross margin at 14.3% or $82 million, adjusted EBITDA amounting to $33 million and our quarterly dividend was $0.14 per share and it was declared. We believe that’s our 55th quarter of dividends. Despite all the challenges we faced for the year, we remain encouraged and enthusiastic with our fourth quarter and full year ’22 results and continue to build on our successes as we look into the future of the company. We were able to deliver these strong operating results with leaner inventory levels in certain categories, while continuing to meet or exceed customer expectations of product availability. Looking ahead, we remain excited as we enter the new year. Despite inflationary and interest rate concerns, we have entered 2023 with a position of strength supported by our market position and our strong balance sheet. At the same time, we remain mindful of the macroeconomic environment. And as such, we are taking a conservative approach to full year planning. We are optimistic about the activity and demand for our products in many key markets on both sides of the border. We have worked and managed through similar cycles and will remain focused as always to protect and maximize margins, while strengthening our balance sheet with steadfast focus in reducing our debt, with the strength of our free cash flow generation. And with that, I’d like to ask Jay Code, our CFO, to take over and provide a review of the company’s fourth quarter and full year financial results in greater detail, and then we are going to open up the call for questions from analysts. Thank you. Jay?
Jay Code: Thank you, Amar, and good day everyone. Sales for the year ended December 31, 2022 were $3.04 billion versus $2.54 billion in ’21, representing an increase of $495.3 million or 19.5%. The increase is largely due to this year’s full year inclusion of results from our 2021 acquisitions of Hixson Lumber and LA Lumber treating, which were completed in June of 2021 and consequently included less than seven months of operations in the comparative prior year. Partially offsetting this positive contribution, sales for both the company’s legacy and recently acquired operations were negatively impacted by construction materials pricing and shipment volume declines generally experienced after the first quarter of 2022. The company’s sales by product group in the year were made up of 76% construction materials compared to 74% last year with the remaining balance resulting from specialty and allied products of 21% and other sources of 3%. Gross margin dollars increased to $408.8 million in the current year versus $391 million in ’21, an increase of $17.8 million. Gross margin was 13.5% for the year, a decrease from the 15.4% achieved in ’21, mainly due to the previously discussed construction materials pricing declines experienced after the first quarter of 2022. Expenses this year were $272.6 million versus $219.1 million last year, an increase of $53.5 million or 24.4%. 2022 expenses represented 9% of sales versus 8.6% in 2021. Distribution, selling and administration expenses increased by $41.6 million or 25.4% to $205.7 million versus $164.1 million in 2021 largely due to additional expenses resulting from the full year inclusion of our 2021 acquisitions. DS&A expenses represented 6.8% of sales in the year compared to 6.5% in 2021. Depreciation and amortization expenses increased by $11.8 million or 21.5% from $55.1 million to $66.9 million, largely driven again by the full year inclusion of assets related to our 2021 acquisitions. Finance costs for the year were $37.6 million versus $27.1 million in ’21, an increase of $10.4 million or 38.5%. The company incurred additional finance costs due to 2022’s full year inclusion of our 2026 unsecured notes, which were issued on May 10, 2021, as well as higher interest rates on the company’s variable rate loan facilities. Our 2022 EBITDA was $203.2 million compared to $220.7 million last year, a decrease of $17.5 million or 7.9%. EBITDA for ‘21 included nonrecurring directly attributable acquisition related costs of $4.9 million. 2021 adjusted EBITDA before these nonrecurring costs was $225.6 million. 2022 adjusted EBITDA was positively impacted by this year’s full inclusion of the results from our 2021 acquisitions. As a result of these factors, net earnings in ’22 were $78.7 million versus $106.5 million in ’21, a decrease of $27.8 million. Turning now to the statement of cash flows. The company generated $222.2 million in cash from operating activities this year, a significant improvement compared to the $49.3 million generated in ’21. The main contributor to this year’s improvement was stringent working capital management partially offset by lower net earnings. Operating activities before noncash working capital changes generated $138.9 million in cash compared to $163.8 million in 2021. Changes in noncash working capital items generated $83.3 million in cash compared to using $114.5 million in ‘21. The increase in cash generated in noncash working capital was largely due to management’s efforts to reduce inventory volumes in anticipation of potential slowing of market activity along with the construction materials pricing declines during the current year and its impact on the company’s average unit cost of inventory and trade receivables at December 31, 2022. With respect to financing activities, the company returned a total of $224.8 million of cash to equity and debt stakeholders compared to generating $454.5 million from these activities last year. The main drivers of this significant change being the debt and equity financing activities related to last year’s acquisitions contrasted with this year’s focus on stringent working capital management resulting in substantial net pay downs of our revolving loan facility in 2022. In May of ‘21, we issued a five year 5.25% senior unsecured note for gross proceeds of $325 million in connection with the Hixson acquisition and scheduled repayments related to our non-revolving term loan consumed $2.7 million consistent with ‘21, repayment of certain promissory notes consumed $1 million compared to $1.5 million in ‘21, payments of lease liabilities including interest consumed $24.8 million of cash compared to $23.6 million last year. The company’s lease obligations generally require monthly installments and these payments are all current. This year, we significantly reduced our revolving loan facility by $148.6 million, driven by our positive net earnings and substantial working capital reductions. In the prior year, the revolver increased by $131.6 million, reflecting its utilization to partially finance our 2021 acquisitions. Shares issued net of issuance costs generated $1.3 million of cash this year compared to $82 million in 2021, which included proceeds from our public share offering in support of the Hixson acquisition. The company also returned $48.6 million to shareholders through dividends paid in ’22 compared to $42.6 million in ’21. We updated our dividend policy during the fourth quarter of 2021, resulting in a quarterly dividend increase from $0.12 to $0.14 beginning with the dividend paid on January 14, 2022. The company was not in breach in any of its lending covenants during the year ended December 31, ’22. Investing activities consumed $4.5 million of cash this year, representing purchases of property, plant and equipment net of proceeds from disposition. Whereas last year, we invested a total of $503.3 million, largely related to consideration paid for our 2021 acquisitions of Hixson Lumber and LA Lumber Treating. This concludes our formal commentary and we would now be happy to respond to any questions that you may have. Thank you. Operator?
Operator: [Operator Instructions] Your first question comes from Yuri Lynk with Canaccord Genuity.
Yuri Lynk: Amar, I thought your team did a great job handling the commodity price volatility in the quarter to drive really good margins. Any change in how you’re handling that, like are you using [VMI] anymore than you used to or direct ship, or any changes or anything you want to highlight that can help us better understand the really good performance?
Amar Doman: I think just company wide, we all got a little nervous watching the roller coaster ride of lumber for the past couple of years, we decided to, yes, lean a little bit more on [VMI] being our consignment inventory with some of our mill suppliers, but we also just sort of bought less traded faster and didn’t fall in love with anything. So we were just going on higher turns, reducing inventory. And we started those activities back in March and they are certainly paying off, they did in the fourth quarter and that’s continued in the first quarter as well, Yuri.
Yuri Lynk: And then maybe Jay can jump in on this one. Just the second part of that question. I mean, if I understand correctly, you reclassified some SG&A expense up into OpEx. So your gross margin, I guess, measured as we used to measure it was actually even better than what we saw. Jay, can you help us with the reclass and…
Jay Code: That was simply just getting used to the operations at Hixson and there is quite a bit of manufacturing going on in that operation. So just sorting through all of that in our first year with Hixson coming out of ‘21 and firming up the allocation of costs. Of course, that had no impact on EBITDA but did move some costs around between SG&A and margin.
Yuri Lynk: We are talking like a couple million bucks, something like that?
Jay Code: Yes.
Operator: Your next question comes from Hamir Patel with CIBC.
Hamir Patel: Amar, two of your treated peers pointed to their volumes being down high single digits year-over-year in Q4. Was that your experience as well?
Amar Doman: We were off a little bit, not much I’d say, single digit in certain regions, certain regions were up. So it was a little bit all over the map depending on where you were and where the weather was like as well. But we haven’t seen any large fall off in volume or demand as we started the first quarter as well. So we are still active in all markets and pretty much all regions as long as the weather is cooperating, we are shipping material.
Hamir Patel: And Amar, any comments on how your Canadian distribution volumes might have fared in the quarter and into ’23 to start the year?
Amar Doman: Yes, distribution has been steady. Canada has been kind of boring. It’s just kind of in a band of housing starts between, call it, 200, 250 and the multis and singles just are kind of bouncing around and being boring and we see that continuing. So our volumes are pretty flat to last year. The biggest factor in all of this is just the deflation of all the lumber items and everything from comparing to last year to where we are today if you rebrand the lengths. I mean, some stuff was 1,400 bucks, it’s down to 400 bucks. So lumber markets completely changed and steadied. And the suspension on the previous question, we have done a good job of managing through that and maintaining our margins and as we start this year. So different price base for sure on all sides the business with lumber down, but otherwise the business is running fine.
Hamir Patel: And just last question I had for Jay. What should we expect for CapEx in ‘23 and are there any notable growth projects in that budget?
Jay Code: We don’t expect to break away from any historical patterns, Hamir. We are running around $5 million, $6 million of CapEx last couple of years, but we plan for a little bit more of that and then we look at every CapEx request very closely. Planning wise, we have got $12 million in the budget but we don’t expect to spend all that.
Operator: Your next question comes from Paul Quinn with RBC Capital Markets.
Paul Quinn: Just looking back over the last two and a half years where you had that really exceptional run up in prices. How do you treat your business differently the next time this comes around? What are some of the things you could have done to capture more of the upside and limit the downside?
Amar Doman: I think we did a good job, Paul. No one knew what -- how to play that. Certainly, the ride up was a lot of fun, the ride down wasn’t, but we knew it was coming. And I think the key there was not to over inventory. But the problem is we are dealing with world class retailers and we can’t be out of stock, so we have got to carry inventory. I think those volatilities are hopefully once in a lifetime because of the pandemic, and we may not see that going a roller coaster ride again. But having said that, what have we learned to continue to run more with less inventory and be able to turn faster, we surprised ourselves at how fast we can turn inventories and run with less, we’re doing that now as you see our working capital is down, our inventories are down, we’re getting ready for whatever’s coming up. But certainly, we’ve got more efficient through that process. And as you saw the last big slide of lumber kind of in the last half of last year, we managed very well and brought our margins back up to kind of our neighborhood. So I think we learned a lot and we’re executing on what we learned.
Paul Quinn: And then just trying to get some feedback from your customers on -- and you deal with customers in both in new home construction side as well as the repair and remodel. Is there a big difference between now those customers are looking at 2023?
Amar Doman: We haven’t seen a decline yet and we’ve seen a lot of the [offshore] business start off the year fairly brisk, again, weather dependent. California was a bit slower in January. And Texas got a few days of ice and we couldn’t ship. But besides that they’re active and we get to see the store sales right and the computers are aligned, so we can see what’s moving and the materials moving. So the cash and carry renovation part is still going and the new home construction hasn’t fallen off. And again, you’ve heard me mention before, usually after periods of a lot of homebuilding activity, the decks and fences, which are our number one and two products come afterwards and we’re seeing some of that now. And of course, lumber being more affordable today I think is going to help drive costs from some people that were on the sidelines when lumber was in the stratosphere and couldn’t afford it.
Paul Quinn: And then just looking at M&A opportunities, whether definitely trading’s slowed down a little bit, whether that’s still a focus for the company going forward in terms of capturing some synergies and some market share, or is it other areas that you want to target?
Amar Doman: Yes, geographically still in the US, we want to move eastward and we will at some point. We’re looking in the Northeast and the Southeast. There’s some opportunities there and there’s a little [Technical Difficulty]. We’re continuing our dialogs despite coming out of the pandemic and interest rate fears and all that, we’re not stopping our M&A focus or anything else. We just think some of the pricing as far as acquisitions go are a little ahead of themselves looking back at the last couple of years, which were robust years for everybody that was a wake in the business. So we’re looking at those numbers and saying we’re going to be normalizing over the next few coming up. So we’re going to be sober on our valuations as we go to purchase these businesses, but we’re not going to stop growing here at all the way.
Operator: Your next question comes from Zachary Evershed with National Bank Financial.
Zachary Evershed: So what are you hearing from your clients in terms of the pace then market demand and the backlog of projects are looking at? Is it starting to pull in a bit and dry up or is it still strong as ever?
Amar Doman: I wouldn’t say it’s as strong as ever or drying up, I think it’s just steady as she goes up. What we’re seeing is people ordering a little bit less but more frequently, I think everyone’s a little concerned and reading the same media we all read and just [Technical Difficulty]. I think until this [Technical Difficulty] direction and hopefully the right direction going back down, you’ll see guys get more comfortable buying more and more material. Everybody’s running with less and turning faster. So that just seems to be the flavor of the day, don’t get caught with too much stock in case your customer goes away. So everyone’s being cautious, which I think is a responsible approach.
Zachary Evershed: And in that kind of same vein then what’s your view on pricing and the supply demand balance in lumber and panels?
Amar Doman: My prediction for what it’s worth, I think, lumber is going to trade in a band between 50 and maybe 100 bucks up and down. I don’t think we’re going to have these record highs and different things like that. But everyone is under buying. And if the weather shakes out and there is no recession and interest rates are kind of holding where they are, the demand will pick up. But again, I just see a swinging in kind of a band of being back to sort of backing and filling in sort of a boring lumber market and frankly, that’s where we do really well in a boring market.
Zachary Evershed: If things don’t quite go that way, what’s your downside scenario look like for a housing bear market?
Amar Doman: Well, we’re watching our inventories very close, so that’s the one lever that we can pull pretty quickly is just sort of run with less, which we started last March, as I was saying a bit earlier. So we’re kind of prepared for that. And we can move our inventories fast, it’s pretty liquid stuff. So we’re not going to get caught being over inventoried if the world comes to an end tomorrow. But the more we kind of see where the housing markets going, we think it’s going to be down in the US. But we’re seeing our volumes and everything else still steady as she goes as we’re in the first quarter here.
Zachary Evershed: And just one last one for me. You mentioned that your gross margins got back up in the neighborhood that Doman used to. Where do your gross margins sit typically if everything plays out to your assumptions and you’re able to continue managing costs?
Amar Doman: We’re in that sort of the 14s as we speak about and that can move up and down just a little bit in that area, but that’s kind of the area where we live. And it seems to be kind of our traditional pattern as we add more trading activities manufacturing into the operations. And that’s kind of where we trend is right in that zone. And any other comments, Jay?
Jay Code: No, I think that’s covering it, Amar. In that in that zone around 14% is where we expect to be in a relatively -- in that band of pricing that Amar mentioned.
Operator: Your next question comes from Ian Gillies with Stifel.
Ian Gillies: I’m just curious of whether you’re seeing any change on customer demand side for your, call it, maybe more traditional lumber products versus the allied product lines given some deflationary pressures on lumber over, call it, the last six months?
Amar Doman: I mean, our customers, let’s say, on the distribution side and kind of lumberyard side, we’ll put box business aside for a minute. As mentioned the guys are ordering less and more frequently, which lends into our distribution model of LTL, which is less than truckload activity. So we’re seeing those divisions do better. As people order less and they won’t order full railcars, et cetera or buy direct from mills where they -- when they can, their buyings are still in, everyone’s a little concerned. So everyone’s just playing it buy to sell to, buy to sell to, and that’s kind of where we’re at.
Ian Gillies: And then with respect to the distribution, selling and administration line item on the income statement, for lack of a better term. As activity rolls over and you’re trying to right size costs, I mean, how much flex do you have there from here to move that number or if things get worse?
Amar Doman: I mean, we can ebb and flow a little bit on the manufacturing side and how many people we need as far as production activities. But if lumber is at 200 or 1,400, it still takes a salesperson to execute a sale. So the pricing is really a bit irrelevant to that. We still need people to operate the businesses. But we’ve got some levers we can pull to you know rein things in. We’re elastic with almost all of our freight except portions in the US where we have our own trucks. Otherwise, we don’t have trucks sitting around and drivers and insurance to pay. So we’re pretty elastic. We’ve been through a few downturns before and we managed quite well and we usually see renovation activity pick up through downturns.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
Ali Mahdavi: On behalf of the Doman Building Materials team, I’d like to thank you all for joining us today. This concludes today’s call. Should you have any other questions please feel free to follow-up  with me directly. Have a great day. Operator?
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.